Operator: Good morning, ladies and gentlemen, and welcome to the Resolute Mining Fourth Quarter 2025 Activities and 2026 guidance. [Operator Instructions] I would like to remind all participants that this call is being recorded. I will now hand over to the Chief Executive Officer, Chris Eger, to open the presentation. Please go ahead.
Christopher Eger: Good afternoon, and good morning to all. Welcome to Resolute Mining's Q4 2025 Activity Report in addition to providing some color on our 2025 annual results as well as our guidance for 2026. Today, I'm joined on our call by Gavin Harris, our Chief Operating Officer, who's actually sitting at our Syama operations in Mali as well as our CFO, Dave Jackson, in addition to our Head of Corporate Development and Investor Relations, Matty O'Toole-Howes. So let's dive into it. When looking at our Q4 performance across the business, I'm very proud to say that we achieved all of our targets and have very much stabilized the operations, setting up a very strong foundation for 2026. But when looking at the details, our gold produced was 66,000 ounces, an increase of 6,000 ounces over our Q3 results. A lot of this additional work came from our activities in both Senegal and Mali. Specifically in Mali, we have stabilized the supply chain issues that we talked about at the beginning of last year and throughout 2025, whereby now we've now stabilized our explosive situations and are hitting our targets through the end of the year and into 2026. Mako continues to perform extremely well, and we had a very strong quarter in the last quarter of the year. As a result of the good production across the business, our all-in sustaining costs came in at $1,877, again, a decrease versus our Q3 AISC of just about $2,200. So the difference between the 2 AISCs really results in the fact that we are really managing our costs across the business as extremely and efficiently as possible, but most importantly, with the increase in the production levels. Very also positively, we reduced our TRIFR to 1.87x versus 1.95x in the previous quarter. CapEx came in line at $18 million. But ultimately, what we're most proud of is the fact that we generated close to $86 million of operating cash flows in Q4 relative to $70 million in Q3. So what does this mean from a net cash position for the year is that we ended the year at $209 million of net cash, which is roughly $140 million increase in cash from the beginning of the year. But Q4 was also very exciting for us and the fact that we had some significant developments in Côte d'Ivoire. Specifically, on December 15, we provided an update of the Doropo DFS to the market, which shows the incredible robustness of this project, whereby the NP of the project at $4,000 is just about $2.5 billion. We'll go into more details on the specific activities for Doropo in the upcoming slides, but I'm very pleased to say that this project remains on track, on budget for construction in the first half of this year. In addition, we continue to progress across the portfolio in our exploration assets. And most notably, we introduced a Le Debo MRE at 643,000 ounces at 1.14 grams per tonne. In addition, we started really drilling at the ABC deposit in Western Côte d'Ivoire, achieving very strong exploration results, which I'll go into detail in the coming slides. Across the business, we also are continuing to execute our other strategic projects, most notably in Mali, we're very much on track and on budget with our SSCP project, again, which we'll talk about in the upcoming slides, and we continue to progress in Senegal on the life extension projects. 2025 was an incredibly pivotal year for Resolute as well as a very transformational year for the business. I'm very proud to say that we were able to achieve gold production in line with our guidance of 275,000 ounces to 285,000 ounces with final gold forward of 277,000 ounces. So very much on track to guidance, on production, also on all-in sustaining costs, whereby we ended the year at an all-in sustaining cost of $1,843, which is in line with our revised guidance. Additionally, CapEx came in on guidance at $118 million, and we achieved very strong operational and financial results with EBITDA coming in at $383 million. It is worth noting though that at the end of the year, we finished with quite a lot of gold bullion that we did not sell. So we roughly had 31,000 ounces of gold in inventory that we sold in January, which impacted the EBITDA profile for 2025. With regards to cash flow generation and as it relates to the previous slide, we ended the year with $209 million of net cash, but our overall available liquidity was just over $320 million between our gross cash and access to working capital facilities. So when looking at the business from a qualitative perspective, we're very pleased with all the activities that occurred in 2025 to position the business for continued success in 2026. Most notably, in 2025, we substantially augmented the skill sets of the executive team. We brought new people into the business, specifically a project team in Côte d'Ivoire for the construction of the Doropo project. We also restructured a lot of the principal activities in Mali as a result to some of the challenges that we encountered in 2024. We spent quite a bit of time with different government bodies across the business, and we've been augmenting the relationships that we have with the people in all the different jurisdictions that we operate. We also completed the acquisition of the Doropo and ABC projects in Côte d'Ivoire in May of 2025. This acquisition has set the business up for continued success by becoming a multi-producer West African gold company. We also made significant achievements in continuing the projects that we have in both Mali and Senegal as it relates to the SSCP and [indiscernible] programs, which we'll go into more detail. The other key activity for the business in 2025 was continued focus on exploration as I see this as a pivotal leg to creating shareholder value in the long term. But I'll spend a bit more time in the exploration section as it relates to some of the key activities that we see in 2026. Here's a recap of the organic growth profile for the next coming years. As you can see, in 2025, we achieved 277,000 ounces but as you look to the future, we'll be achieving between 250,000 to 275,000 ounces for the next couple of years as we continue our stockpile processing at Mako, where we start the construction of the Doropo project. So I'm very confident by 2028, we will be on a run rate to achieve 500,000 ounces for the foreseeable future across the business. And beyond that, with the work that we're doing on exploration, I'm very confident that we'll be able to grow the production profile organically through some of the success that we're seeing in the exploration side of the business. So as you can see on the page, we're guiding gold production from 250,000 to 275,000 ounces across the group. That's split between Syama and Mako of 195,000 to 210,000 ounces of gold production out of Syama and 55,000 to 65,000 ounces of gold production out of Mako. Mako is quite straightforward as we're continuing to process stockpiles all through '26 and into '27. However, at Syama, Syama is going to have an interesting year as we will be commissioning the SSCP program, whereby we are going to start processing the majority of the ores to be sulfides as opposed to in the past, a split between sulfides and oxides. But Gavin will go into very specific details about how this transition will occur in 2026. As a result of the high gold price environment, we are seeing our all-in sustaining costs increasing. And so we are guiding our all-in sustaining costs across the group between $2,000 to $2,200, but a significant reason for the increase from 2025 is due to the fact that the royalty expense at today's gold price environment at $4,000-plus is adding quite a bit of expense to our all-in sustaining costs. Capital expenditure for 2026 is substantially higher versus 2025. And as you can see on the page, is between $310 million to $360. Going through the different line items, we will provide some context to the increase in CapEx. So let's start with Syama. Syama is being guided between $110 million to $125 million. But of this number, approximately $40 million relates to the finalization of the SSCP program relative to 2025. In addition, waste stripping is also about $40 million, which is an increase versus 2025 of about $20 million. And that additional waste stripping capital is required in order to further develop the Syama North deposit in order to access higher-grade zones for the future. At Mako, we anticipate that the CapEx will be between $15 million to $20 million with the vast majority of that capital being spent on capital projects at the Tombo and Bantaco projects. Doropo is projected to be between $170 million to $190 million, subject to permitting an FID approval. And most of that CapEx is scheduled to be spent in the second half of the year. But again, we'll go into more detail how we see Doropo being built and expensed in the upcoming slides. And finally, we continue to spend quite a bit of money on exploration as this is a key value driver for the business. And so we expect to spend at least $15 million to $25 million on exploration, predominantly in Côte d'Ivoire, but we are looking to expand our activities in both Guinea and also in Senegal. So with that, let me turn it over to Gavin Harris to walk you through the specifics of each of our assets and our activities in 2026.
Gavin Harris: Okay. Thanks, Chris, and good morning and good afternoon to everybody on the call. Starting in Ivory Coast. We've made major progress on Doropo and ABC projects, which we acquired in May last year from AngloGold Ashanti. Doropo is a transformational project for Resolute, one that I was already familiar with as it was originally developed during my time with Centamin. Throughout the second half of 2025, we built out the project team, appointing key positions; the Project Director, the Project Manager and the Project Services Manager. The Project Director, Rob Cicchini, leads this team, which has nearly 100 years of experience building projects in West Africa, Asia and Australia, predominantly with Lycopodium in the past. The long list of projects this team have worked on in West Africa include Ity, Agbaou and Sissingué in Côte d'Ivoire; Houndé, Bissa and Bouly in Burkina Faso; Fekola in Mali, Obotan and Nzema in Ghana and of course, our very Mako mine in Senegal. Moving on to key achievements for Doropo last year. These include the updated mineral resource estimate, which increased by 28%. The release of the updated definitive feasibility study, or DFS, that outlined a larger and longer life operation than the previous DFS by Centamin in 2024. The appointment of Lycopodium Engineering to complete the front-end engineering design or FEED and the issuance of the tender for engineering, procurement, construction management or EPCM, with site visits taking place next week. Progression of permitting saw increased governmental interactions, including multiple visits from the Resolute executive team and a meeting with the Prime Minister. We are waiting for approval for the mining permit. At the end of last year, the permitting process slowed due to elections. With these now over and ministers being appointed this week, we expect the last 2 stages of permitting to progress over the coming months. These stages are, firstly, approval in the Interministerial Commission followed by signature of the presidential decree. The updated DFS released on the 15th of December outlines a significantly larger project compared to the previous version of the DFS with a 55% increase in gold reserves and an extension of the mine life. An updated gold price of $1,950 per ounce has increased total life of mine gold production to 2.2 million ounces over 13 years. Current spot gold price is significantly higher than this, but to manage the time line and permitting, which was submitted using $2,000 pit shells, the updated DFS remains within these confines. Further gold production is anticipated at higher gold prices, which underpins the confidence that the Doropo life of mine could be extended beyond 13 years. We believe additional exploration targets between the main Souwa hub and Kilosegui could add even further mine life. [indiscernible] front capital costs have increased to an estimated $516 million, which reflects updated pricing with a significant inflationary aspect compared to the previous version completed during the first half of 2024. A 25% increase in processing capacity, future-proofing the project, which allows for further modular expansion, an 80% increase to the water storage capacity, a 55% increase in the capacity of the tailings storage facility to meet the additional process tonnages, increased land and livelihood restoration and resettlement costs and the inclusion of some previously admitted items. Financial highlights from the updated DFS at a base case gold price of $3,000 an ounce include all-in sustaining cash cost of $1,406 an ounce, a post-tax net present value of $1.46 billion at a 5% discount rate and internal rate of return of 49%. A payback period of 1.7 years, the payback drops to under a year of $4,000 gold price, and obviously, the gold price is much higher than that right now. Very strong free cash flows averaging over $260 million per year over the first 5 years of production. As I mentioned a moment ago, we see a lot of upside potential at Doropo, and I believe it's going to be one of those mines that simply keeps producing well beyond initial expectations. So the key work streams for Doropo in 2026, which are already underway are focused on maintaining project time lines whilst permitting and the final investment decision or FID takes place. FEED work undertaken by Lycopodium will mean equipment and construction tender packages can be prepared and issued in the first half of 2026. This work will enable procurement of key long lead items to start as soon as FID is approved. EPCM tenders have been issued with a site visit taking place next week. We initiated a competitive bid process with strong interest from world-class engineering firms with proven track records building gold mines in West Africa. The EPCM submission and adjudication will continue throughout the early part of the year, and we plan to award this towards the end of Q2. Site earthworks will start before the wet season to establish access roads and advance the early stages of the water storage and water harvesting tasks, which are key to retaining and providing water during the project construction phase. To facilitate the early work schedule, work will start on the construction of the camp and permanent village to provide messing and accommodation for the construction teams. If we assume that FID is completed by the end of Q1, the project time line has construction starting from midway through Q2 of 2026 with commissioning starting early 2028. The first gold pool is expected to be towards the end of the first half of 2028. Again, assuming the FID is reached by the end of Q1, capital expenditure on the project in 2026 is expected to be between $170 million to $190 million with approximately 75% or $135 million of expenditure during the second half of the year. Expenditure in the first half of the year will include land acquisition and crop compensation for the villages affected by the project. So now we'll move across over to Mali and the Syama operation. Syama delivered 47.2 kilo ounces during Q4, the momentum shift after 2 successive lower quarters, largely due to supply chain issues encountered from the end of Q1. The strong quarter resulted in Syama achieving the lower end of guidance with 176.3 kilo ounces of gold produced at $2,008 all-in sustaining cost, again, within the guidance range. Of note during Q4 was a new ore production record from the underground mine, achieving over 250,000 tonnes of ore in a single month. This underpinned the strong quarter as we use alternative explosive products and supplies to address issues encountered over the previous 9 months. On joining Resolute, I traveled to Mali on the evening of my first day with the company. During this visit, which lasted 3 weeks, it was clear the team on site needed strategic leadership to help with decision-making of the complex operation. We made great progress in this area, and we see further areas of improvement in 2026. Additionally, I spent considerable time reviewing contractor and supplier arrangements to make sure we're receiving the most competitive rates. To address some of the challenges, I carried out a restructuring of the management team in the second half of 2025. This started with the General Manager of the operation. While this restructure took place, I spent 3 months on site at Syama overseeing the operation and implementing a reset to remove historical inefficiencies, also whilst taking advantage of many opportunities that were immediately visible. The team at Syama were bolstered with experienced and seasoned professionals bringing first-hand experience of turning around distressed assets. We conducted an operational review starting during Q3, focused on optimization of the underground assets and cost reduction programs across the whole site. It resulted in a significant drop quarter-on-quarter as these benefits began to hit the bottom line in Q4. You can see this reflected in the all-in sustaining cost of $1,779 an ounce. This review continues today with the new leadership team and with even more opportunities under evaluation that are expected to deliver shareholder value throughout 2026 and into the future. These ongoing measures as a minimum are expected to assist in offsetting inflationary pressures. Full year capital expenditure was just below the guidance range, largely due to the Syama Sulphide Conversion Project or SSCP as we call it, deferring some $5 million of costs with the revised schedule for sulphide processing. This was while we were completing Tabakoroni oxide reserves in Q4. The key supply chain issues revolved around transport of products internally through Mali. The largest effects were on explosive products and fuel that needed government escorts. Currently, fuel levels are stable and to combat the explosive transportation issues we faced, we followed our in-country peers and will construct an explosive manufacturing plant at Syama in 2026. This is expected to increase operational stability and explosive availability across the operation. Whilst I've been on site as Syama stabilized in the operations. Chris, the CEO has been busy working to improve dialogue and build a relationship with the government leasing with the value in Prime Minister [indiscernible] during Q4. During Q4, we completed oxide mining at the Tabakoroni deposit, which lies about 40 kilometers southeast of the Syama processing plant. With nearly all economic high-grade oxide deposits local to Syama exhausted, open pit ore production will focus on the Syama North 821 district for fresh sulphide ore over the coming years. Syama today has a processing capacity of 4 million tonnes per annum. This is split between 2 processing plants. First of which is the 2.4 million tonne per annum sulphide plant which treats the underground sulphide ore. The second, the 1.6 million tonne per annum oxide plant processes open pit oxide ore. The Syama sulphide conversion project started in 2023 as key infrastructure to allow sulphide ore to be processed through the existing oxide plant. The project includes the installation of a secondary crusher after the primary crusher to reduce the harder sulphide which material and transitional or prior to feeding the existing SAG mill, a pebble crusher to deal with scats, which is the oversight of discharges from the existing SAG, a close circuit secondary ball mill to treat cyclone rejects and deliver the correct grind size of flotation. The column flotation cells to recover the sulphide material prior to roasting, 2 additional CIL tanks and a roaster upgrade with a new electrostatic precipitator or ESP, which will increase concentrate throughput by over 15%. All of this will allow for the plant to process sulphide feed whilst maintaining flexibility to still be able to process oxide ore. The SSCP is currently on time and on budget. Stage 1, the oversized pebble crusher and sulphide flotation plant scheduled to be commissioned in Q2 2026. The SSCP will then be able to run at 50% capacity, approximately 110 tonnes per hour during Stage 1. As we move to Stage 2, this focuses on the secondary crusher, ball mill construction and the roaster upgrade. This is scheduled to be commissioned and fully operational in Q3. Once fully commissioned, the throughput capacity is expected to increase to 215 tonnes per hour. Syama production will increase in 2026 compared to 2025, and will deliver between 195,000 to 210,000 ounces of gold at an all-in sustaining cost of between $1,950 to $2,150 per ounce. The gold production is weighted heavily towards the second half of the year, with H1 and H2 representing 42% and 58% of gold produced, respectively. This split is due to the ongoing review and optimization of open pit mining, which will conclude during Q1. As such, mining will be limited to the Syama North A21 waste stripping with the existing appointed contractor. During this time, existing oxide stockpiles will be processed and sulphide ore will be stockpiled ready for SSCP commissioning in Q2. The Syama North A21 open pit is expected to mine 1 million tonnes of sulphide ore averaging 2.3 grams per tonne. H1 will be focused on waste and low-grade oxide stripping before ramping into full-scale sulphide ore production in H2. The underground operation is expected to build on the optimization work completed in the second half of 2025 and deliver over 2.6 million tonnes of ore to the surface. The underground production includes 300,000 tonnes of development ore with total development increasing by 74% compared to 2025 and 8.2 kilometers of underground development plan. The highest grades from the underground will be processed, resulting in an average head grade of 2.4 grams per tonne. The lower grade material will be stockpiled, rebuilding the stockpiles that we've depleted during 2025. On completion of the open pit optimization review, oxide mining will take place during Q2 at the [indiscernible] open pit, completing the oxide high-grade reserves of this ore body ahead of the rainy season. This oxide will be stockpiled whilst SSCP Stage 1 commissioning takes place and will be processed later in the year. The second and third quarters focused solely on sulphide processing and the ramp-up of SSCP during Stage 2. By the middle of Q4, sulphide concentrate stocks will be sufficient to meet the process throughput. And as such, any further sulphide processing in the SSCP will defer ounces to be poured in 2027. As a result, there's an excess capacity on the SSCP to revert back to oxide and add additional ounces while stockpiled concentrate feeds the roaster. Hence, the heavy weighting of ounces in H2 with 12,000 ounces of oxide gold production expected during Q4. The current sulphide plant, which receives ore from the underground mine will process over 2.2 million tonnes in 2026, slightly down from 2025 as a 3-week essential maintenance work program takes place in the second quarter on the primary ball mills and the roaster. Once fully commissioned, the SSCP is expected to lift overall gold production by 5% to 10% from 2026 levels. As oxide resources deplete, oxide production is expected to decrease over the next 2 years with operations transitioning to 100% sulphide processing from 2028. CapEx at Syama this year is expected to be in the region of $120 million. And this is split into 3 main areas: approximately $40 million to complete the SSCP and roaster upgrades, another $40 million of waste stripping in Syama North A21 pit and the underground development and around $40 million comprising of equipment replacements and maintenance within the processing plant and the underground mine and additional tailings storage facility studies and construction. A full life of mine review commissioned in H2 2025 is progressing to increase production in subsequent years. We'll report on this in H2 of this year. So we move across to Senegal now on our Mako operations. The Mako operation in Senegal delivered an outstanding 2025, achieving an upward revised guidance target of 123 kilo ounces at a lower all-in sustaining cost of $1,270 per ounce. The fourth quarter gold production of 18,755 ounces was enhanced by higher than forecast stockpile grades. This strong performance was achieved despite open pit mining activities ending in H1 and transitioning to stockpile material in H2. Naturally, the cessation of mining and processing of stockpiles has seen the overall feed grade decrease over the second half of the year. Processing throughput of 604 kilo tonnes has improved year-on-year, but also quarter-on-quarter with continuous improvement. This means that recovery above 91% is maintained despite a reduction of feed grade to 1.04 grams per tonne and higher throughput rates. This has been achieved primarily by metallurgical testing on course grind sizes and optimization of the gravity gold circuit. All-in sustaining costs have increased in the second half of the year with Q4 all-in sustaining cost of $1,666 per ounce as overall gold production reduces with no higher grade run of mine ore to process, increased royalty payments and noncash stockpile movements of approximately $143 per ounce. Capital expenditure was limited to $0.3 million in the fourth quarter and a total of $2.9 million for the full year. As part of our ongoing commitment to build strong relationships with the governments of the countries in which we operate, Chris also met with the President of Senegal in Q4. The Mako Life Extension Project or MLEP, has the potential to extend the current Mako mine life up to 10 years. The MLEP encompasses 2 main areas, the Tomboronkoto and Bantaco deposits. The exciting discovery of the Tomboronkoto deposit, approximately 20,000 from the Mako mine has a current resource of 377 kilo ounces with average grade of 1.7 grams per tonne. The Tomboronkoto ESIA has been pre-validated by the Senegalese technical agencies and is pending ministerial approval. Importantly, this has been supported and approved by the Tomboronkoto village and surrounding communities. The resettlement action plan or RAP and the DFS is nearing completion and the cutoff date, the point at which no further compensation can be claimed, has passed. A full survey of the affected houses and livelihoods has been completed and is now crystallized for the purposes of this project. The overall process has been completed with detailed approach to stakeholder engagement, underscoring our commitment to regulatory compliance, transparent community consultation and responsible project execution. The application for the Tomboronkoto mining permit will follow the issuance of the environmental permit with all permitting anticipated to be received by the end of 2026, assuming no major revisions are required. When we receive the mining permit, we will have the authority we need to implement the RAP and initiate the village relocation work. We expect detailed engineering to start during Q2 with long lead items procured before the end of 2026. That means mining at Tomboronkoto is scheduled to start in the second quarter of 2028. Two additional deposits are currently being explored at Bantaco. The Bantaco South and Bantaco West deposits have recently published resources totaling 266,000 ounces at 1.1 gram per tonne. During 2025, infill drilling, technical studies and metallurgical analysis work streams were progressed with $4.1 million of capital expenditure on this part of the project. This included progressing the ESIA submission and community engagement activities, which are far less onerous than at Tomboronkoto. 2026 work streams for Bantaco are related to technical studies, additional infill drilling is required and progressing the permitting process. Subject to full economic analysis, Bantaco ore delivery is scheduled to commence in Q4 2027 to bridge the gap between the completion of Mako stockpile processing and the start of ore delivery from Tomboronkoto. Total capital expenditure on the MLEP is expected to be between $10 million to $15 million during 2026. Mako production will decrease compared to 2025 as stockpile material is processed in 2026 and deliver a guidance of between 55,000 and 65,000 ounces of gold at an all-in sustaining cost of between $1,600 to $1,800 per ounce. The all-in sustaining cost increase is a reflection of the lower stockpile grades processed within an inflationary environment, including higher royalties due to the higher average gold prices expected in 2026 and compared to H2 2025. Gold production is slightly weighted to the first half of the year with H1 and H2 representing 52% and 48% of gold production, respectively, although it's important to note that the potential variability when processing stockpiles. 2.2 million tonnes of ore to be processed at an average grade of 0.9 grams per tonne with gold recoveries above 90%. Mako currently has sufficient stockpile low-grade ore to continue processing to the end of 2027, albeit grades will decrease as processing moves through low grade to mineralized waste stockpile. And with that, I'll hand you back to Chris to talk through the exploration activities.
Christopher Eger: Thank you, Gavin. And now let's move to talking about exploration. Exploration continues to be very important to the business strategic priorities moving forward. As you can see on Slide 21, in 2025, we spent just shy of $25 million on exploration activities with considerable success. Of that $25 million, roughly $15 million was spent in Senegal, $5 million in Côte d'Ivoire and $5 million in Mali. Some of the key achievements in 2025 was an initial MRE at Bantaco as well as continued exploration activities at La Debo and Doropo. But however, when we look at 2026, we will plan to continue to spend around the same amount of money but to focus more on Côte d'Ivoire versus Senegal as the bulk of the drilling in Senegal has been completed. We will continue, though, in Senegal to spend some money at Bantaco and Tombo with regards to infill exploration drilling, like I said, the bulk of the cash expenditures for this year is going to be focused at Côte d'Ivoire because we see real value at the ABC and La Debo projects. But I'll go to that in more detail in the upcoming slides. The other key area of focus for the business, which has been forgotten about is in Guinea. We do have a number of permits in Guinea, but we have been looking to apply for new permits, and I will be very proud to say that we did receive first reconnaissance authorizations for a number of permits in the Siguiri Basin, which we'll start spending time and effort in 2026. So when I look at the triangle on the right side of the page, this shows that we are developing a proper pipeline to developing the fourth asset within the Resolute business. So again, exploration is core to our success, and we are spending quite a bit of time and effort in developing additional projects within the portfolio. Moving to Page 22. I want to spend a bit more time on our ABC exploration project in the West side of Côte d'Ivoire. When you look at the map, ABC actually is comprised of 4 key deposits. There is a Farako-Nafana permit, which you can see in the very north part of the deposit; the Kona permit, the Windou permit and most recently, the Gbemanzo permit. The bulk of this initial resource is all situated on Kona. That's where you see the $2.2 million of inferred ounces at 0.9 grams per tonne. In Q4 of 2025, we started an excessive drill program across all 4 of those deposits, where we're seeing very exciting results. So the Farako-Nafana permit, which is in the north part, we've got some very exciting drill results support by we saw 1 hole at 31 meters at 2.4 grams per tonne from 13 meters from surface. We also started drilling in Kona to expand that deposits with very strong drill results and this year, the focus will be to drill at least 20,000 meters across the 4 different areas in order to expand this footprint. We are, though, looking to put economics on this project, and we've commissioned a scoping study which we hope will be released towards the end of H1 2026, but possibly to H2 of 2026. So once those numbers are completed, we'll release those to the market. Similar to the ABC project in Côte d'Ivoire, we're also very excited about the La Debo project in Côte d'Ivoire. This is a project that's about 400 kilometers into the northwest of Abidjan, which we acquired in 2024. So we spent quite a bit of time and effort in 2025 drilling out this deposit, and we had a very successful MRE of about 643,000 ounces at 1.14 grams per tonne that was issued in Q4, and that was after 16,000 meters of drilling completed in 2025. When you look at the map on the right side, the resource is focused on the Northeast area of the deposit in the G3S and in G3N zones. Those zones show gold that continue at depth and at strike. And so in 2026, we will start doing a bit more drilling to prove out the size of that deposit and continue to expand. We also see some interesting anomalies at the G1 area, which is kind of in the middle. And so we're going to be spending time drilling that deposit out as well. So the goal is to try and make us to at least 1 million ounces but also is very similar to ABC, we will be looking to implement a scoping study report towards the end of H1 2026, possibly into H2, which will demonstrate the economics of this asset. So look, in summary, I do believe that between Le Debo and ABC, we have been making for a fourth asset -- fourth producing asset, I should say, within the Resolute portfolio. So with that, I'll turn it over to Dave Jackson to go through the financial summary.
Dave Jackson: Thanks, Chris. Today, I will walk you through the Q4 and full year headline financial results highlighted in the key performance metrics. Overall, we ended the year strong, and our Q4 metrics were in line with expectations. We continue to strengthen our balance sheet and build cash in the business. Looking at the financial highlights. Our year-to-date EBITDA was an impressive $383 million, which was a substantial increase from the $319 million reported in 2024. This performance was underpinned by revenue of $863 million generated from the sale of 259,000 ounces of gold at an average realized price of $3,338 per ounce. As previously noted, Resolute remains fully unhedged and continues to sell all of its gold at spot prices. At quarter end, net cash stood at $209 million, marking a $72 million increase from Q3. Included in the net cash figure is $135 million of unsold bullion, representing nearly 31,000 ounces of gold that were sold shortly after the quarter closed. We had $57 million drawn on overdraft facilities at quarter end. These facilities continue to be used locally to optimize working capital. Currently, the group has in-country overdraft facilities of approximately $113 million available as we continue to maintain financial flexibility for the group. The group all-in sustaining cost for Q4 was $1,877 per ounce, which represents a $328 per ounce decrease from Q3. This decrease was primarily driven by the expected increase in gold production at Syama. At Syama, specifically, the all-in sustaining cost was lower than Q3 due to higher production and lower sustaining capital expenditure. As already mentioned, we have successfully navigated the supply chain disruptions in Mali, which resulted in Q4 being Syama's second strongest production quarter in 2025. Let me now walk you through the key components of our cash flow summary that led to the net cash position of $209 million at the end of Q4 on our next slide. We generated a solid $86 million operating cash flow during the quarter and $314 million for the full year. This was a substantial increase from the comparable periods in 2024 and is mainly attributed to the increase in gold price throughout the year. CapEx totaled $118 million for year-to-date. This includes $24 million spent on exploration, $70 million in project capital across Syama and Mako and $24 million spent on the SSCP. Overall, CapEx and exploration spend were within guidance. As previously noted, we made the initial $25 million payment for the acquisition of the Doropo and ABC projects during Q2. These projects represent exciting growth opportunities for the company and are expected to deliver meaningful long-term value for our stakeholders. VAT outflows in 2025 totaled $66 million across Mali and Senegal. We are pleased to say we obtained $34 million of VAT mandates in Senegal in 2025, which were used to offset government payables However, VAT remains a source of cash leakage in Mali, and we continue to engage actively with the local government to recover these amounts. Our recent discussions have been positive, and we remain encouraged by the progress being made. Moving to working capital. We recorded a $29 million inflow for the year-to-date. This was driven by a $6 million reduction in consumable inventory across the group, a $10 million reduction in stockpile balances at both Syama and Mako and a $13 million change in supplier payments, which are settled in the normal course of business. Our ending cash in bullion was $266 million and marks a $165 million increase from the beginning of the year. This leaves us with ample available liquidity of over $322 million at the end of December. As noted on our last call, we have a stake in Loncor gold worth approximately $31 million, which is currently being sold. We expect to receive these funds in Q1 this year, and we expect no tax impact on the proceeds once received. Supported by a strong cash position and ample liquidity, the company is well placed to fully fund its 2026 capital expenditure requirements, including Doropo, through existing cash balances and the anticipated strong cash flows in 2026. We are currently in discussion with debt providers to secure additional capital for the Doropo project, which we are expecting to be finalized in 2026. The timing to secure any financing will not impact the Doropo time line as we expect to begin construction as soon as the permits and FID are obtained. In summary, we're in a very solid financial position and are excited about the growth potential of the business. With that, I'll hand it back to Chris.
Christopher Eger: Thanks, Dave. And look, just a couple of more slides to wrap up the story. First, let's start on Page 28, which has qualitatively highlights some of the key milestones we're expecting in the next few years. Let me just focus on 2026. So going first and starting in Cote d'Ivoire, the most important is we expect to get the mining permits and FID for the Doropo projects in the coming months. And that will then obviously formalize and kick off the construction period for Doropo. But I think as provided by Gavin, we're not slowing this down, and we believe we have the financial resources to execute the construction of the project without missing a beat and initiating full construction and initial commissioning in the beginning of 2028. In addition, we're going to provide economic studies on both Doropo and at ABC. Moving to Mali, we will be commissioning the SSCP and transitioning to almost 100% sulfide production and completing an optimization study. And then when looking at Senegal, the key activities revolve around permitting of both Bantaco and Tombo projects. So we anticipate that we'll kick off those permitting applications in 2026, and we'll keep the market updated. So we have a lot on our place. We're very excited about what we're doing. We also see tremendous opportunities to continue to drive cost reductions across the business and continue to develop and build our relationships with the governments where we operate. So in summary, again, very proud of what the business achieved in 2025. We achieved our production guidance. We managed our costs across the business. We generate a substantial amount of cash flow in the business although with the support of the rising gold price environment. But most importantly, we executed our strategy of becoming a geographically diversified producer through the acquisition of the Doropo project in Cote d'Ivoire. We also made substantial improvements in exploration by focusing this as a key strategic priority for the business. I made a number of executive changes and augmented the skill set of people within the business, which is incredibly important to any mining operation. So with all the pieces that we put in place, I'm very confident that we'll have a very successful 2026. But most importantly, we're well on track to becoming a 0.5 million ounce producer from 2028. So with that, I will turn over to the operator for questions.
Operator: [Operator Instructions] We'll take our first question from Justin Chan with SCP.
Justin Chan: My first one is just maybe just clarifying the explosive situation in Mali. I read that you're planning to put it in an emulsion plant and that the explosives are no longer an issue. And I was just wondering, I mean, a bit more detail. Do you have a stockpile now? And then what's the timing on the plants? And can you just give us a bit more color on that situation and I guess, how it evolves through the year?
Christopher Eger: Thanks for the question. Maybe just easier, I'll just turn over to Gavin, and he can probably give a bit more color than I would.
Gavin Harris: Yes. Thanks for the question. So basically, our strategy at the moment is the explosives that are coming into site has to be escorted in by the Mali and government forces, obviously, given the security situation in Mali. What's been happening is the government have been in talks with our team in country to effectively set up a grade to support the mining operations. So we're seeing a lot -- we're getting a lot more exports into the site now. So currently, the stocks on site are good enough for us to continue production and obviously be a little bit more relaxed in terms of the issues that we have had previously. But further to that, we have been in discussion with different suppliers to effectively build their own plants on site to be able to produce the products we need going forward. So we have had a successful discussion with two suppliers on that, and we're waiting for final proposals to come in ahead of building these, but we expect these to be constructed within 2026. And obviously, bringing in raw materials that are precursors to explosives will not be subject to the scores from the government, which makes things a lot easier. So that really should solve that issue that we've had with explosives throughout 2025.
Justin Chan: Got you. So perhaps to paraphrase, so the near-term issue is resolved because you have these convoys that are more frequent and the supply frequencies increased and then the emotion plant is more of a longer-term solution, but timing on that in 2026 is to be determined.
Gavin Harris: Yes, exactly. That's a good summary.
Justin Chan: Okay. Perfect. And then maybe just on Mali more broadly, I mean, there's been a couple of major developments, the Barrick coming to an agreement with the government on Loulo-Gounkoto. And then I mean, there was a lot of press on the fuel blockades, et cetera, around November last year. It seems like that situation has improved quite a lot. It sounds like. And I'm curious on the situation with Barrick coming to an agreement with the government. I think four companies are having a hard time implementing their already agreed terms just because the government was preoccupied. Maybe could you give us an update on what you're seeing in the country on both those fronts?
Christopher Eger: Yes. So Justin, I think, look, what we see is similar to the others that the mood has changed dramatically versus 2024 and a lot more positive and constructive. We do believe the situation with Bayer coming to resolution is good for the industry and good for Mali. I think the government understands what has happened and why and are trying to work with the remaining operators to try and keep it more stabilized. There was obviously a bit more noise on security at the beginning of Q4 that we've seen kind of reverse. So it's -- unfortunately, it's a bit more of the same. We are continuing open dialogue and constructive dialogue with the government and trying to educate them on how we can work together for future investments. That's why we're doing the Phase II studies that we work with the government. Demonstrate that I know if we can work together, we think that there's growth in our business. But unfortunately, a bit similar to 2025, I'm still cautiously optimistic. We're still very cautious that we need to see a bit more signs of reversals. One of the key activities that we have not been receiving or VAT refunds back. And I think that's a key milestone that needs to be achieved for future investments. But generally, the mood is much more positive and continues to head in that direction, but it's still delicate. So look, I would say, just a summary, security is probably in good shape. And as fuel hasn't been an issue because we're working very closely again with the government to get the convoys and for our mines to be fed, which has been not impacted, but it's still delicate.
Justin Chan: Got you. I appreciate that. That's really helpful color. And just one last one, I'll free up the line. Just clarifying with regards to the CapEx and exploration at Mako this year. So the $10 million to $15 million quoted in CapEx, that's for studies and that's independent of the exploration budget for Mako this year?
Christopher Eger: That's correct. The bulk of that is study work. We will do, like I said, a bit more drilling on Bantaco, less on Tombo because we've pretty much completed that. And look, we'll spend more -- if we find more areas to explore and to expand on. But the key is to get the studies completed so that we can file for mining applications. And then depending on how we see our cash needs in '27 and '28, we may open up a bit. We're going to also look -- we have two other deposits in Senegal, Sangola and Laminia, and we're going to do some work there. But with the resources we have, we're going to focus more in Cote d'Ivoire.
Justin Chan: Okay. Got you. And that will be primarily studies, it's not for, say, early site works or relocation.
Christopher Eger: There is some capital towards the back end of this year, depending on the timing of -- if we receive the mining applications towards the end of the year, we'll start doing some, we'll call it, early site works and mostly it's around the wrap the relocation process at Tombo. So there's probably about $3 million to $4 million anticipated in Q4 assuming we get exploitation permits coming in as expected, but that may change and get pushed into '27.
Operator: Our next question comes from the line of Casper [indiscernible] from Berenberg.
Unknown Analyst: I just had two quick questions. At on the CapEx at Syama this year. I just wanted to ask how we should think about that CapEx going forward after this year's $170 million to $190 million spend?
Christopher Eger: Yes. So it's a good question because I know it's higher this year because we have decided to put a bit more capital into effectively into the plant because look, the plan is 30-plus years, and obviously, we need to do a new TSF. So that's why there's additional, call it, $40 million of what we call capital projects that is probably more of a one-off. I would say next year, 2027 will be probably closer to $30 million. And then look, we have, like I said, more than $40 million this year on waste stripping with a lot of that, half of it being new stripping at the 21 Syama North Zone. So I'd say, look, moving forward, the run rate CapEx is closer to $30 million to $50 million. So probably a bit on the higher end for '27 and then it will start to stabilize in that $30 million to $40 million thereafter.
Unknown Analyst: Okay. Great. And just as a follow-up, why -- I just wanted to ask why sales at Syama lagged production volumes in Q4? And did they get sold in early Q1?
Christopher Eger: Again. So look, in summary, we had just about 30,000 ounces of gold volume, 31,000 to be specific at the end of the year. It has to do with the fact that the 31st of December was on Wednesday, and we tend to ship our gold on Fridays. And so we have built up stock around 2 weeks' worth of stock. So all of that gold was then shipped effectively in the first 10 days of January. So look, we'll have -- that was a key impact to the lower EBITDA versus overall guidance. It's just that some of those gold sales were pushed into January, which will impact the '26 numbers.
Operator: Our next question comes from the line of William Jones with Canaccord Genuity.
William Jones: And congratulations on a pretty good quarter. Most of my questions have been answered. But maybe just one on trying to understand the grades going through the plant at Syama post '26. So I know you quote sort of a 5% to 10% step-up. I gather that is grades are going to be impacted just by oxide feed. So just if you could provide some color on those -- the grade of those oxide stocks going into the plant over the 2 years and if that will step up towards the reserve grades once those stockpiles are used, probably firstly. And then secondly, just a bit of the strategy around utilizing those stockpiles.
Christopher Eger: Thanks. Maybe, Gavin, over to you on that one. just obviously as we're reviewing the mine plans...
Gavin Harris: Yes. Thanks for the questions. Look, on the Syama grades, obviously, the sulfides that we're seeing are reasonably good grades coming out of that Syama North A21 district, and we expect those to improve as we go forward. They're sitting around sort of 2.3 at the moment for this year. There will be ups and downs in that as we go through the mine life, but we think reasonably around 2 grams per tonne is acceptable for what we'd be looking at, at the moment. And then the underground, realistically, the grades will drop off towards the end of the mine life. But certainly, over the next few years, they're sitting around that sort of 2.4 gram per tonne as we go forward.
William Jones: Okay. And then just interested on -- look, I appreciate how much you can say on this, but how you're thinking about the funding or capital stack for Doropo? And is there any target leverage perhaps that you're thinking of?
Christopher Eger: No, it's a good question, and it's an evolving question, to be honest, because of the cash flow generation that we're generating in the business. So as you saw from Dave, we have today over $300 million of liquidity. At today's gold price environment, we're generating anywhere from $30 million to $50 million of fresh cash every quarter. So that puts us in a very strong position to actually fund the bulk of the CapEx with our own resources. But we think it's prudent to put in some debt and because we will need some cash in the future for the MLEP program. I would say we're looking at kind of a 50-50 target split between equity and debt, but it may be a bit more equity depending when I say equity or cash versus debt. It all comes down to the cost of capital net debt. But what's really important to us because of the cash flow generation of the business, and we're not a developer is that we put in a debt facility that's very flexible that allows us to pay that back quite quickly without too many penalties and costs. And look, we've been innovated with term sheets for funding of Doropo because of the attractiveness of the project and where it's located in the world. But again, similar to what Dave said, we're working through these. So we're not in a rush because we have quite a -- look, everything is going on track as we expected, and we'll probably look to put something in place towards the end of H1, maybe into early H2 because in any case, we'll be using our cash to fund the front end of the project.
Operator: [Operator Instructions] Our next question comes from the line of Richard Knights with Barrenjoey.
Richard Knights: Just one on ABC. It feels like it's a bit of a sleeper in the portfolio. You mentioned there's a scoping study that you're targeting to get out in H2. How quickly do you think you could turn that around into a DFS and ultimately an FID decision?
Christopher Eger: Look, I think realistically, that would be towards the back end of '27. And look, and I agree with you, it is a bit of a sleeper in the group. It's a fantastic asset, and it's a very large footprint that we have. So look, depending on the economics of the scoping study, we can try and fast track it, but there is infill drilling that needs to be done. And because there's various deposits on the permit, we would need to think about where we would start and how we would kind of build that line because it's a good problem to have, but they are different -- the ore bodies are quite different in each of the different zones that we have. So we just need to understand that a bit better. But we see significant strategic value in ABC and how it's continuous with other deposits in the area. So there's definitely a mine at ABC that will be built at some point in time.
Richard Knights: Yes. Okay. And maybe -- sorry, just one more on Doropo. The $170 million to $190 million of CapEx you're targeting for this year. I'm assuming all of that comes out of the $516 million total CapEx bill for the project?
Christopher Eger: That's correct.
Operator: At this time, we have no further questions. This concludes today's call. We would like to thank everyone for their participation. You may now disconnect your lines. Have a nice day.